Massimo Battaini: Welcome everybody to the Third Quarter Earnings Call. I'm extremely proud to say that we achieved a significant uptick in our results in quarter three. If you look at the righthand side of the page, where quarter three data is reported, you see €540 million of EBITDA, first time achieved by the company. Even more exciting is the 11.9% EBITDA margin achieved in the specific quarter. And part of this is definitely due to the successful acquisition and integration of the Encore Wire perimeter in our scope. Also, you see in the heading 1.8% organic growth for across the whole company business unit which significantly for us is extremely satisfactory and is suggesting that we are really leveraging on the capability of the company and taking advantage of the market trends. Also, let me complement this nice set of results with the free cash flow, close to €1 billion last 12 months; and the 36% reduction in CO2 emission coming from Scope 1 and 2 versus our 2019 baseline. Of course, the significant growth in terms of EBITDA has been achieved through a strong performance of Transmission, as you will see in a while, and Power Grid, supported by the I&C increase in perimeter and in profitability, with stability in Digital Solutions and slight decline in the special cable business unit. With this acceleration in results and also thanks to the change of perimeter of Encore Wire, I mean what we told the market one year ago is, I would say, absolute. We achieved already the €2 billion EBITDA level in 2024, which was, by the way, the target in 2027. So we owe the market a new ambition. And we will disclose our revised and refined strategy and our vision for the next years in March '26 in New York City. Why USA? USA because a lot of things. First of all, we are super exposed to the U.S. market, following the acquisition of Encore Wire, compounded by the original strong presence in many seminal business in legacy Prysmian, Transmission and Power Grid and Digital Solutions. And also second reason because we want to make investors feel and touch like the asset and the quality, the value of all the assets that we acquired. So there will be after the Capital Market Day a visit to the McKinney site in Texas on March 27. Moving to the first business, Transmission. Super happy of the organic growth seen, 17.5%. This has been obtained mainly through pricing, mainly to installation incremental volume. We are still not close -- we are close to benefiting, but we are not still benefiting from the capacity expansion, which, on the contrary, we will benefit from next year, from mid next year onwards. So the 17.5% is particularly satisfactory to us. But even more important is to recognize the EBITDA margin achievement in quarter three at 15.3%. Coming from 13.8%, reaches the average of first half 2024 and coming from 14% of year-on-year -- from the year-on-year comparison. The EBITDA absolute value is pretty high, €92 million. The 15% level is something we're going to achieve and maintain also in quarter four. So this is certainly giving us confidence that what we told that we would achieve next year, namely, the 16% level EBITDA margin is within reach definitely with our good execution, with additional capacity increase and with the good margins coming from projects in the existing backlog. The backlog has remained at €18 billion level in this quarter. No major adjudication awards that happened in the market. There will be additional expectations for quarter four with some business will be landed by us. And so we anticipate the year-end backlog will be higher than €19 billion. Then we move to Power Grid. Great EBITDA margin definitely is the way, in my view to describe the quarter three performance, 13.6%. We are coming from a softening in EBITDA margin in quarter two, and we're now consolidating a solid 13.3% for the nine months of 2024. We also had good signs of growth, 2%. Of course, in this space, we embed different seminal business. So there is stronger growth in medium voltage and HVAC, and there is softening in demand in low voltage cable and overhead bare transmission cables, but all of it compounded terms in a 2% organic growth. Remarkable results also considered we've been hit by some business interruption resulting from the hurricane that hit our South Carolina plants at the end of September 2024. Moving to I&C. I think you immediately appreciate the value accretion coming from the Encore Wire acquisition. Looking at quarter three per se, you see 11.5%. Last year, it was 9.4%. If you take the first half EBITDA margin of I&C, it was 9% and this has risen to 11.5%. So significant accretion. In this quarter, you should consider out of the €211 million EBITDA, €100 million is coming from Encore Wire perimeter acquired. We are happy to confirm a great progress in the integration process. The new agent structure is in place, has been set in place since August 1. We are working on an integrated organization. And I'm really excited to confirm, also from my recent visit in September, October, that the quality of the asset that we acquired and the power of the service model and, in addition, the value and the capability and the know-how of the Encore Wire team are really and truly outstanding. Let me move to Specialties. Here, we are not satisfied by the organic decline and by the EBITDA margin percentage, although we had to recognize this is specifically coming from two business subsegments. One is the automotive business, where we recorded significant downturn in volume and in pricing. The other one is the oil and gas perimeter cables and also then for technology solution, the one we provide to oil and gas platform to connect the platform to the seabed. So we had some contraction in margin and volume, which has resulted into this performance in quarter three. We continue to remain positive on the business. Quarter four would not be much different from quarter three, we anticipate, but we are working on the mix improvement on the rest of the perimeter to make a more satisfactory achievement, to achieve more satisfactory results from quarter one, '25 onwards. Digital Solutions, it is stable, volume-wise. You see the organic growth is slightly negative. We've finally seen in this last month of October, not yet to report in quarter three, obviously, significant volume uptake in the American market. So this is positive signs that probably the market has finished this longer-lasting destocking phase, and we are in a rebounding mode. Particularly satisfied by the almost 14% EBITDA margin. And in actual value, we moved from €35 million EBITDA to €45 million this year, which is reassuring. We expect this volume demand uptake continuing in the coming quarter and becoming even stronger in 2025. The nine months show again, stability at a 12% EBITDA margin which for us is a good level for the current level of market demand and profitability. The comparison to 2023 is a bit unfair because in first half '23, we were still not at the peak of the market, but we were enjoying a significant level of backlog coming from '22 that we, in the end, deliver in 2023. One important slide to comment how crucial to our growth strategy is sustainability. On the one hand, on the first KPI, you see the importance of the Scope 1 and 2 reduction in emissions, but this is our internal contribution to the decarbonization of the world. We are on track and actually very aggressive despite we had to align also the Encore Wire perimeter to these targets. We confirm our present targets overall. But even more satisfied were from the second KPI, which shows the percentage of revenue of the company leading to sustainable products. This has risen to almost 50% of total revenues. So this is not as important per se as it is in terms of the way we see sustainability as a lever to achieve organic growth, a lever to engage more customers and satisfy more customer needs in terms of low-carbon products in the market. And the third indicator, the recyclability content of products shows another important step change in performance, 15.7% level of recycled products in compound and copper material. With this, I will hand over to Francesco for the financial outlook.
Pier Francesco Facchini: Thank you, Massimo, and good morning to everybody. Profit and loss recap. Of course, as Massimo anticipated, the nine months include the Encore Wire consolidation since July 1, so basically for the third quarter. Organic growth, which obviously excludes Encore, as Massimo said is positive in the third quarter by 1.8%, driven up very significantly, very positively by the strong performance of Transmission with a strong double-digit growth and also positive growth pattern, both in I&C and in Power Grid. A very solid EBITDA for Q3 at €540 million. I would say, even better in terms of EBITDA margin, which is 11.4% year-to-date and close to 12% for Q3. Of course, this is benefiting of the accretion coming from the Encore consolidation in Q3. Other than this, I would say that our EBITDA margin are quite stable around 11.1% throughout the three quarters. To remark is the very strong progression of the Transmission business both in terms of total EBITDA and in terms of margin with margin in Q3 exceeding 15%, very well positioned for achieving our medium- and long-term targets, which were announced last year at the Capital Market Day. No, no. Sorry. The financial charges of course increased significantly, up from €70 million last year to €133 million. Of course, the effect of the acquisition financing and of the acquisition kicks in beginning of July in the third quarter, and this is the largest part, almost the entire of this increase. The net income is extremely positive, €619 million, benefiting also from a pretty low level of tax rate at 22%. Let me remark that we plan to close the full-year with a net income between €800 million, €850 million and this is very significant in terms of the progression of our earnings per share. You reminded at the Capital Market Day, we were announcing a year-on-year growth greater than 10% starting from 2022. 2022 EPS was around €2 share. I think that by the end of full-year of 2024, we will be in the region of €2.9 share. So it's definitely a progression, which is much ahead of the targets that we had announced at that Capital Market Day. Okay. We can move to the cash flow. As Massimo anticipated, a very strong last 12 months free cash flow, close to €1 billion and extremely well positioned to achieve our guidance, say, €900 million free cash flow for the full-year. The debt is reflecting the movements coming from the Encore Wire acquisition, you see €4.1 billion; and also the movements coming from the convertible bond conversion, which is a positive in June, July this year; and also coming from the execution of the share buyback, which is ongoing that so far has been executed for approximately €170 million year-to-date September. And that, of course, we plan to complete between year-end and end of the first quarter next year. Let me add that the expectation of net debt for year-end is absolutely in line with our original expectation and is for a net debt in between €4.4 billion and €4.5 billion at year-end, which is a leverage in terms of net debt on EBITDA of approximately 2x. So a very solid and very healthy financial structure. Back to Massimo for outlook and conclusions. Thank you.
Massimo Battaini: Thank you, Francesco. So EBITDA-wise very well in the range. We confirm that we will be in the midpoint level. Bear in mind that we had some headwinds coming from Forex and the hurricane. So both of them account for -- in total, they account for some €15 million worth of negative impacts. So confirming €1,925 million is definitely a strong sign of strengths across all the other -- all our businesses and regions. We are also in line with what we said, what we told you last time. So we will see -- we see ourselves in the €100 million neighborhood of the free cash flow for full-year. And of course, we confirm the emission targets of 36% full-year for Scope 1 and 2 and minus 13% for Scope 3. And so concluding this representation of our performance, I confirm the super strong result achieved by Transmission and Power Grid. And this is a trend that we see lasting in our backlog and lasting in our footprint and lasting across all our geographies. We are super satisfied by the Encore Wire acquisition. We've seen pricing normalizing already for the four consecutive quarters. And so we are going to use these assets to build the foundation and the growth for the coming years, thanks to the cross-selling opportunity complementary to the portfolio of products and also thanks to the drivers of growth that are benefiting the U.S. cable industry. Strong cash generation is another important asset to this company. And again, quarter four -- quarter three result, quarter four full-year guidance will definitely require us to provide you a new ambition for the company for the next coming years, which we will disclose to you in a few months from now. Thank you. I now leave the floor to your questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Akash Gupta from JPMorgan. Please go ahead. Your line is open.
Akash Gupta: Yes, hi. Good morning, Massimo and Francesco. I got two questions, and I'll ask one at a time. The first one I have is on Transmission segment. So you are already reporting double-digit growth when you have very little incremental capacity. And next year, you are telling us that there will be more capacity coming online in your Pikkala factory specifically. So maybe can you tell us about what sort of growth can we expect next year? And what sort of operating leverage shall we expect on this higher growth? So like if you're already at 15% run rate on margins, where can we go next year when you have more capacity available online and probably the mix will also shift to these newer projects? So that's the first one to start with.
Massimo Battaini: Thank you, Akash. You are definitely right. And this year, we will have three additional lines of production tool in the submarine space and one in the land HVDC space, which will come to fruition from basically June or July next year. Yes. I'm a bit hesitant to tell you a number in terms of organic growth, but it will be significant. I would like to confirm that on the back of this level of profitability, 15%, we see ourselves beating/meeting what we told the market one year ago at the Capital Market Day. So the 16% target for 2025 is definitely within reach and we hope -- we think we'll be able to beat it and you remember, our original goals was to achieve 16.5% by 2027. So we are well positioned to beat those numbers. Of course, we want to remain cautious because we have a larger scale of activity to run next year, more capacity, more product room, more complexity definitely, but we are well equipped to manage this complexity. So significant organic growth next year and consistency in margin growth in '26 -- '25, '26 and '27.
Akash Gupta: Thank you. And my second question is on Power Grid segment. So I think in your prepared remarks, you said you saw growth in medium voltage and HVAC business, but a bit of softness in low voltage and overhead cables. Can you tell us a bit about how these -- how your Power Grid kind of split between these four product categories? And when it comes to margin mix, are there some categories that have better margins than the other categories? Thank you.
Massimo Battaini: Yes. Thank you. I give you the sense of the split. So a big chunk of this business is Power Distribution, let me call it two-third of the total revenue in this space is Power Distribution. And then you should consider almost one third is HVAC and the remainder is the overhead lines business. In terms of profitability, the EBITDA margin of HVAC is higher than the average, is higher than the 13.5% that you've seen in quarter three. The medium voltage is also higher than the average. The lower voltage is somewhere between 8% to 10% in average. Of course, there are -- these are EBITDA margin distinction by business unit, sub-business unit. Of course, geographically wise, we have also significant spread between the margin of United States and the margin of Europe and LatAm. But this is to tell you that the growing margin, the growing volume is in the high margin segment, medium voltage and HVAC. This is what matters. This is where we are deploying additional capacity, both in HVAC in Europe to support customers like French TSOs or English TSOs in their deployment and also medium voltage is where we are investing both in Europe and North America to support the growth coming from the electrification needs.
Akash Gupta: Maybe just a follow-up to that. So if you are expanding more into HVAC and medium voltage, which are higher margin business. So we should expect some improvement from current level of profitability rather than the profitability staying at these high levels? Would that be a fair assumption?
Massimo Battaini: I like to be cautious here, because 13.5% is extremely high margin for this business. You remember that this company delivered 7% two years ago. So we've been very good at leveraging our strength, capabilities, production footprints and technological leadership in making this margin growth consistently achievable and sustainable. So yes, on the one hand, I believe that the additional volume in HVAC and medium voltage will bring some upside. At the same time, there is -- this weakening in low voltage is continued -- is expected to continue. So where the net effect will be, I don't know. But we will be reasonably happy to maintain the profitability of the overall business unit around a range between 12.5% and 13%, 13.5%.
Akash Gupta: Thank you.
Massimo Battaini: You're welcome, Akash.
Operator: Thank you. We'll now move onto our next question. Our next question comes from the line of Josh Miller from Morgan Stanley. Please go ahead. Your line is open.
Josh Miller: Yes, thank you very much. Good morning everyone. Just sort of a quick question in light of some of your comments on maybe weakness in low voltage in Power Grids, but also in Specialties. Maybe could you give us an update on the demand environment in U.S. Industrial & Construction, particularly around the election? I guess has there been any noticeable changes to your business there? And then also, you've talked in the past about this part of the business having backlog. Is this still the case today? Or have you worked through that and are now in a more normalized environment?
Massimo Battaini: Thank you, Josh. Yes, we -- when I mentioned Specialties, the specialty is not all about this business, specialty is the electrification of equipment. In the Specialty business, I mentioned [indiscernible] automotive as a driver of margin and -- volume and margin softening and also the oil and gas case. On the contrary, on the rest of the application fields, and we have plenty of them in the different geographies, crane, mining, rolling stock, defense, marine, irrigation, all the rest is proceeding very well. And I'm confident that we will make this growth in the coming quarters more satisfactory. We're also working just to complement these comments, on how to reduce our reliance on automotive. And we have -- we will show you in the coming weeks what those plans are and how fast we are going -- how fast are we proceeding in divesting some of their activity in automotive. Then the weakness in low voltage that I mentioned in the Power Grid space is not different from what we noticed in the past, is there are much more investment in medium voltage than in low voltage cable to electrify the grid to strengthen grid. And this is particularly heavy as a dynamic in the United States where also the low voltage under, I'd say the low voltage overhead lines, which we call overhead lines distribution, overhead lines are pretty much under pressure volume wise and also price wise. Then I don't expect anything to happen in the United States in terms of changes of the market demand following the election. Both President, both parties we had in the past and in all cases, we had a stronger need of reinforcing the made to -- make in U.S. approach. In both cases, we had a significant push for subsidies and support to the infrastructural investment. In both cases, there has been a continued effort in reshoring manufacturing to the United States. In both cases, we had a significant expansion of data center activity, which is a significant driver of our business growth. So I don't see how trends that are solid, secular, and well-established entrenched in the U.S. market might change as a result of the election.
Josh Miller: Great. Thank you very much. And then maybe just a second follow-up, sort of article headlines this morning about a potential investment from Prysmian in Nexans' industry unit. I wonder if you could comment around that and maybe how you would plan on financing such a deal?
Massimo Battaini: We are far from considering the financial impacts of how to organize that -- this operation. We are working on the case. We've been just handed over all the information. It's an interesting opportunity. We'll have to assess it properly. It's a sizable space, €700 million revenues. It is an interesting space of business of special cables, mainly in Europe. But at the same time, there is some significant overlap with our footprint in Europe, which we have to assess. So there is some complementarity in some product niches like defense, like aerospace, like medical care, which are particularly interesting to us, but let us work on the case. And in the next two, three months, we will make up our mind and we will let you know if there is any solid interest in continuing this possible operation.
Josh Miller: And sorry, just to clarify, is that you're looking at the industry business ex auto also including the auto harnesses segment?
Massimo Battaini: No, we are not at all. Not at all interested in the automotive business and even less into the harnessing business, not at all.
Josh Miller: Great. Thank you very much.
Massimo Battaini: So we are very interested in the rest of the space, so special cables for electrical application in equipment OEMs customer.
Josh Miller: Great, thank you.
Massimo Battaini: Thank you, Josh.
Operator: Thank you. We will now move onto our next question. Our next question comes from the line of Vivek Midha from Citi. Please go ahead. Your line is open.
Vivek Midha: Thank you very much everyone and good morning. I have two questions. My first question is on channel inventories. Some of your peers have highlighted some destocking effects in the third quarter, whether it's in European construction or in the U.S. distribution market. So how do you assess the level of channel inventories today? Have you seen any significant movements in channel inventories in the last quarter? Thank you.
Massimo Battaini: We've seen some destocking activity in U.S. within the U.S. distributors in the past months. I would say, more towards the second half '23 and beginning '24. Actually, at the beginning of '24, we started to see a significant rebound in demand from distributors in the United States. So I think there is stability in the market. I don't see signs of destocking. If there is some, let's say, softening in the residential space in the United States, a slight softening, but as you know, we are really very little exposed to this residential business in U.S. And in Europe, there is no impact. There's no changes coming from destocking activity within distributors' channel across different countries. Of course, in the Nordics, we see more demand; in the Southern area of Europe, a lower demand in the second half of 2024. But overall, we are extremely positive about this I&C volume in the coming months.
Vivek Midha: Understood. Thank you. My second question is on Digital Solutions. So you mentioned an improvement in U.S. demand in the last month. How are trends in Europe? Thank you.
Massimo Battaini: So U.S. demand has picked up in October. Now it's the first month where we see significant volume. Let's wait for the next months to come. In Europe, we have a stable volume over 2023, I'd say. Of course, there is a declining market in France because market France has almost achieved the completion of the Fiber to the Home router. There is more demand in Germany, Central Europe, in U.K., the Nordics and in North Europe. So overall, let me call it flattish. There still seems -- there is still some pricing pressure coming from the fiber Asiatic players. And we are working on the case to set import duties. As we did there for Chinese cables two years ago, we will also do it for fiber imports into Europe from Indian and Chinese players.
Vivek Midha: Thank you very much.
Massimo Battaini: Thank you, Vivek.
Operator: Thank you. We will now move onto our next question. Our next question comes from the line of Monica Bosio from Intesa Sanpaolo. Please go ahead. Your line is open.
Monica Bosio: Yes, good morning and thanks for taking my questions. My first question is on the Industrial & Construction. Out of the €211 million EBITDA, roughly €100 million came from Encore Wire. I'm just wondering if you can give us an indication on the weight of Europe on the Industrial & Construction EBITDA for the third quarter? And if you can give us some flavor on the pricing trend in Europe? That's my first question. And for the second one is on the digitalization. Volumes are picking up in U.S.A. Maybe it's too early to bet for a new positive cycle. But I'm just wondering, what could be a fair margin in a positive cycle and in the mid-cycle for digitalization? Thank you very much.
Massimo Battaini: Welcome, Monica. So I&C, you said €100 million is Encore Wire and out of the rest, let me say that Europe is around €40 million EBITDA of the remainder of the EBITDA of the group. We don't see at all pricing deceleration in Europe. If anything, we are stable, slightly increasing over quarter three or quarter four last year. But you also remember that Europe didn't benefit much from the cost inflation process that has allowed the United States to enjoy significant margin uptick in the second half '21 and full-year '22 and partly in 2023. So stability in volume, stability in pricing in Europe, with some pockets of opportunity in pricing the upside and volumes likely growing also in Europe. Digital Solutions, they normalized level of margin. I mean, you remember that at the peak of the market, we were at 14%. We consider 12% a good level to achieve, to maintain for the coming years. Considering that this 12% is a blend between the United States, which has some better margin than Europe or used to have some better margin than Europe, so we have to say with additional volume uptick, if this margin in U.S.A. will be also restored, maybe not in line to the level of 2022, but midway between today and that level will be a nice achievement. And so 12% is a margin moving forward. Of course, what we missed now is the overall size. We were larger than what we are today back in 2022, so with some additional activity in Europe and maybe pricing improvement in Europe and volume growth in the United States, we should be able to provide this business a similar scale to the one we had in the past years.
Monica Bosio: Okay. Thank you very much. And just a follow-up on data center. Is there any update on the performance of this market overall? Someone talking about bubble, maybe it's too early. So just your opinion on this side? Thank you.
Massimo Battaini: The growth -- Monica, my opinion is that the growth is very challenging across the whole supply chain. And AI is prompted and pushing additional growth and, of course, all system has to align to this demand. There would be probably some normalization in demand because the current uptake is probably not midterm, long-term sustainable. It's definitely one of the most exciting case for us, given our global presence in geographical -- from a geographical perspective and giving us our wider presence -- wide presence in terms of product range. So let me just remind you that also in Transmission, even which from a first site view, will not expect being benefiting or touched by data centers. But I'm sure there are projects that are coming on stream because of the requirement of electricity and green electricity data center requires. So we are definitely satisfied by our current portfolio and our ability to participate to the use case in the coming years.
Monica Bosio: Thank you very much, Massimo. Thank you.
Massimo Battaini: Thank you, Monica.
Operator: Thank you. We'll now move onto our next question. Our next question comes from the line of Alasdair Leslie from Bernstein. Please go ahead. Your line is open.
Alasdair Leslie: Yes, thank you. Good morning. Just a few questions on the I&C North America. I was wondering whether you can talk about the sequential development in demand in the quarter in North America for I&C. Just maybe what the exit rates at the end of the quarter were. I understand maybe you started off slowly, but I guess that would appear to have sort of strongly accelerated. I just wonder if you could confirm that. And I was wondering if you could also just touch upon kind of pricing trends there in North America as well. And more -- I think you've also talked about Encore really having a premium pricing model. Just wondering how much further kind of future upside is there now that you're obviously moving towards a kind of one-stop shop offering and the market's consolidated. Thank you.
Massimo Battaini: All right. So first of all, pricing, as I said before, we've seen now full stability in pricing in the United States. We reached this bottom after the three quarters normalization in quarter four 2023. Since then, we haven't noticed any price deterioration. If anything there, we've been through some price improvement and different sell-in to this business to justify some cost inflation that we had in 2024. So we will -- we confirm the EBITDA margin of Encore in the range of 15%, which is not different from what we have in the legacy Prysmian Perimeter in I&C North America. I wanted to mention that it doesn't appear from the global organic growth. But in the United States, there's been a quarter over the organic growth of 4.7%. So suggesting that the demand of I&C cables, low voltage, copper low voltage and copper low voltage cable is a pretty strong resilience in the United States. The upside will come from the synergies. So we don't bank on an additional upside coming from pricing improvement. We think there will be a continued solid demand in the space driven by the secular trends. We count on the few percentage points of margin improvement resulted from the €140 million synergy that we mentioned to you a few months ago, we would achieve in the next three/four years, faster in terms of commercial synergies, a little bit slower in terms of operational synergies. That is some of them, the one associated to some CapEx that we have to implement. I hope I answered your question.
Alasdair Leslie: Great. Yes, you did. Thank you. I was wondering if I could just squeeze in a quick follow-up on data centers. Just I was wondering, is that maybe now around 10% to 15% of your North American I&C business in terms of sales? And would it be fair as well to say that the kind of profitability there would rank towards, I suppose, the top end in terms of all your different verticals or end markets?
Massimo Battaini: It is correct and it is 10% to 15% of our I&C space. And also in Europe, we have a similar impact. We also have volume delivered to a data center customer coming from other seminal business. As you know, in Power Grid, we are providing medium voltage cable and also low voltage cable to contractors and end users of data centers. And also, you can imagine we are exposed to the optical business. Also the optical business is pretty much exposed to data center growth.
Alasdair Leslie: Great. So profitability across all those different areas is good?
Massimo Battaini: Yes, yes. Definitely.
Alasdair Leslie: Excellent. Thank you.
Massimo Battaini: You're welcome.
Operator: We will now move onto our next question. Our next question comes from the line of Daniela Costa from Goldman Sachs. Please go ahead. Your line is open.
Daniela Costa: Hi, good morning. I have three questions, if I may, but I'll ask them one at a time. First wanted to ask you on Digital Solutions. Your growth or your decline contrasts a little bit with what we are seeing from some of like your U.S. peers. Can you talk a little bit about the mix differences or if you see sort of -- you're about to see those type of trends that we see now significantly growing in some of the U.S. peers or if there are any things we should consider and remember for why not?
Massimo Battaini: Yes. Daniela, you're right. You're totally right. The U.S. peers that you referred to are definitely Corning and Costco [ph]. They have, I would say, a great complementarity to our products. They are very exposed to connectivity. So all those devices, passive equipment and active equipment goes into -- inside building a data center space which we don't have in our portfolio. So we play in data center in the high-density fiber to connect data center among them and to connect in buildings, install in campus to other buildings. But unfortunately, we don't have the same access to the great inside plant data center business as our peers. So we are much more involved in Fiber to the Home deployment, which unfortunately have come to a hold at the end of 2022, beginning '23 with the downturn of the market. Now we see signs of recovery in Fiber to the Home business. And that's why we will -- we think in the coming quarters, we see some organic growth in that specific case, that specific business segment. Unfortunately, our comparison to the big ones, which can participate entirely to data centers expansion is unfortunately a bit unfair to us. As you know, we will work and we are working on how to make our portfolio more robust and more wide -- and wider and broader in terms of passive equipment so that we can also enjoy some part of this market growth.
Daniela Costa: Thank you. And then a second thing. Can you talk a little bit about how you see the supply and demand balance on high voltage and where -- in which stage are you on your U.S. investment compared to what you original planned for?
Massimo Battaini: Yes. Thank you, Daniela. The demand in 2050 -- 2024, sorry, for high voltage businesses, some in [indiscernible] is around €15 million, €17 billion, coming from €30 billion last year, but you can -- you recall very well that last year, we had €15 billion of market awarded through frame agreements and all customers basically placed all their frame agreements last year. So we see stability in the market in this regard in '24 to '25 within a range of €15 billion, €20 billion market for the next few years. The market in U.S.A. is not picking up. It is in line with what it was last year, what it was the year before. Where we are at in our expansion plan is that we are close to make a decision about the acquisition of the plant -- of the land. All permits will come available around the beginning of 2025. And in quarter one, we will make our decision. It is obvious that we can still serve this market from the United States. It is equally obvious that to be present with local content is a value. We will weigh up pros and cons of the decision in the next few months.
Daniela Costa: Right. Did I read that, that you might or might not proceed with the investment?
Massimo Battaini: We are considering this. Yes, Daniela. We are considering the size of the market. We are considering the value of the local content. We are considering that where customers asking us to be there. At the same time, we have to be cautious that same capacity invested in Europe will be much more profitable. And so those considerations are what we are going to assess together in order to come to a sensible and a reasonable decision.
Daniela Costa: Got it. Thank you. Final question for me. Just in terms of the -- what you had mentioned when you did Encore that you were looking at the potential dual listing into the U.S. Is that something that we should expect an update during the CMD? Or what's the state of that project?
Massimo Battaini: Yes. Definitely before -- by the end of March, we will have made up our mind and we will communicate the decision. We will still a couple -- we will still need a couple of months or so to complete the full assessment through the advisers that we have engaged. And so early, beginning of last year, definitely by March, we will have -- we will be able to communicate a decision in this regard.
Daniela Costa: And what you are deciding on is whether it would be a dual listing, not a full listing in the U.S.?
Massimo Battaini: Yes, yes. It will be definitely a dual listing situation, for sure.
Daniela Costa: Got it. Thank you.
Massimo Battaini: You're welcome.
Operator: Thank you. We'll now move onto our next question. Our next question comes from the line of Alexander Virgo from Bank of America. Please go ahead. Your line is open.
Alexander Virgo: Yes, thanks very much. Good morning gents. I wondered if you could just talk a little bit about cash flow for us. Obviously, reiterating the guide for the full-year is a good starting point, but the Q3 was possibly a little light. So just wondering if you could help us with the moving parts into the end of the year on that? Thanks very much.
Massimo Battaini: Thank you, Alex. I'll hand it over to Francesco.
Pier Francesco Facchini: Hi, Alex. As I commented the last 12 months, we are very happy. It's close to €1 billion, definitely above the line of the full-year 2024 guidance. At the midpoint, you remind is €880 million. We had by the way a pretty strong contribution in Q3 coming from the consolidation of Encore. The dynamic going to Q4 and the four to full-year, the dynamic of working capital in the Transmission business shouldn't change that much. Of course, the down payments were pretty strong in the first half and in particular, in the first half. Maybe they will be a little bit softer than last year in Q4, but offset by very strong collections related to our projects milestones. So all in all, I think that Transmission will be in line with -- in Q4 will be in line with last year. Then we have an impact that we have to consider, which is the impact of the rising metal prices, which took place from August to October, basically. And this is certainly impacting Q4, but it's definitely absorbed within our guidance. But it's something that we have of course to absorb. And last year, maybe the last comment is that Q4 last year, we had a particularly high level of CapEx and you see this, by the way, reflected in the more than €800 million last 12 months as of September, which includes the Q4 2023. And in Q4, the level of CapEx, Q4 this year should be a bit lower than last year. That's a purely quarterly distribution by the way, and should support our cash flow. So all in all, as I said, all these elements, all these movements position us very well for our guidance and say for a target of €900 million.
Alexander Virgo: Very helpful. Thanks, Francesco.
Pier Francesco Facchini: Welcome.
Massimo Battaini: Thank you.
Operator: We'll move onto our next question. Our next question comes from the line of Alessandro Tortora from Mediobanca. Please go ahead. Your line is open.
Alessandro Tortora: Yes, thanks. Good morning. I have two questions, if I may. The first one is on the performance of Encore Wire. Can you give us, let's say, an idea considering also the CapEx plan, ongoing CapEx plan of Encore Wire, which kind of organic growth performance you do today in Encore Wire, but also a kind of indication of what you see, let's say, in the medium term for Encore Wire? And secondly, I have your indication of, let's say, profitability, let's say, mid cycle profitability of around 15%. Is it fair to say that probably today is running, let's say, closer to 16%, 17%? Just if I look at the contribution of sales in the EBITDA for this quarter? That's the first question. Then the second one. The second one relates to the installation of, let's say, the German corridor. I saw a sort of press release or presentation, whether you officially commented about the start of installation in Germany. Can you give us also in this case an update on when installation will gain speed considering all the three major projects? So just to understand if these are a matter of next year on the 2026 to see all projects contributing, let's say, in terms of both production and installation. Thanks.
Massimo Battaini: Thank you, Alessandro. So Encore Wire, yes, the CapEx plan of Encore Wire is not about expanding capacity on cable space. It's about expanding capabilities, let's say, in distribution center, so they are further working on the expansion of the distribution center. And this will also shoot significantly in our cross-selling opportunity, because we are shifting as much as possible volume from legacy Prisma perimeter to Encore, McKinney perimeter to benefit from the existing data center and its expansion. There will be other CapEx in Encore Wire to expand the compounding facility. So the further verticalized [indiscernible], and also to invest in a new rod mill, so the production of copper rod on-site, which is another important stream of synergy for us, because that rod will definitely provide rod activity, rod raw material to our legacy Prysmian plant. In terms of organic growth, organic growth for Encore Wire is more or less around 2.5% in this quarter three sequentially. And coming to the profitability, I'm not sure whether the quarter three is at 16%, 17%, but I see Francesco nodding, so it's probably right.
Pier Francesco Facchini: North of 16%.
Massimo Battaini: Yes, okay. So a good 16%, which is, as said before, very in line with that of legacy Prysmian. But we will, we had already, we're already struggling to maintain distinct view of Encore Wire from legacy Prysmian, because as said, we are -- we already offloaded all the copper building wire production from Prysmian clients into Encore Wire plant. We're also moving some low voltage aluminum production from our plant in Prysmian legacy perimeter into McKinney, again, to benefit from all this. And even worse is what we are doing in terms of blending the rest of the I&C perimeter where we are part of light portable cords and industrial product that we are moving into the distribution center of McKinney. So I think that from quarter onwards, it will be kind of impossible to provide you with a distinct new P&L-wise organic growth-wise of the two perimeter. And we like to consider this a great outcome of the fast integration that we are implementing. German Corridors' installation has started on two projects. And next year, we will see the whole -- all the three projects pulling a lot of cables, joining a lot of cables. We are up to speed with the training of all jointers and the pulling activity that will be required next year by the three German Corridors' operations.
Alessandro Tortora: Okay. Thanks. And just if I may, so a follow-up, let's say, on Corridors. Is there any update on Italy? Recently, I read about, let's say, the Hypergrid project to follow-up [indiscernible] Terna. Is it something, let's say, in your pipeline for next year, let's say, in terms of a potential pipeline?
Massimo Battaini: Well, it's one new project we have agreed that. We will know that this project will be make us benefit from some additional volume in Naples. So continue some MI paper [indiscernible] cables in the fact will be essential to us to guarantee continuity to the plant. So Hypergrid suits this case. We believe that in recent communication with Terna that the Hypergrid project would be out for tender in quarter four, '25/quarter one, '26, but now it's definitely maturing to a different level of stage in the financial approval process, in internal approval process.
Alessandro Tortora: Thanks.
Massimo Battaini: Thank you.
Operator: We'll move onto our next question. Our next question comes from the line of Lucas Ferhani from Jefferies. Please go ahead. Your line is open.
Lucas Ferhani: Thank you. I have two questions, please. Just on Power Grids, so you have new capacity coming on. You're also revamping some old lines. I just want to know when you expect to see an acceleration in organic growth to see really the impact of that new capacity? And the second one is on Digital Solutions. Can you provide a bit of an update on the add program in the U.S.? What kind of progress you're seeing there from customers and also from states? And also on Digital Solutions, regarding the portfolio. Are you mainly working to improve the product portfolio organically? Or are you also considering acquisitions in the U.S.? Thank you.
Massimo Battaini: The Power Grid capacity expansion has come on stream in the second half of 2024. So there would be obvious benefit in carryover for the full-year of '24 -- '25 of this capacity increase. Towards the end of 2025, there will be a second stream of upgrade of the capacity, with two more lines installed and one Canadian plant. So in summary, a carryover the existing deployment in '25 and in '26 an additional waiver will benefit U.S.A. When I talk Power Grid, I talk here 1 million voltage capacity expansion. We are, as said before, seeing a softening volume in overhead transmission for Distribution and in low voltage power grid space. But definitely, the capacity will position us even stronger in terms of participation to the electrification needs and enhancement needs of the grid in United States. Digital Solutions yes, we see this rural broadband activity continuing finally. As I said before, the speed is not yet what we thought it would be, certainly from the perspective that we have in 2022. So next quarters, we'll have more understanding of how the market will evolve in this regard. Digital Solution, I cannot tell you much here. Organically, we are working on the portfolio expansion, but we are definitely working on an inorganic way. I cannot tell you more about where and when we will make these M&As complementing our portfolio of products, but we're definitely working on it.
Lucas Ferhani: Okay. Thank you.
Massimo Battaini: Thank you, Lucas.
Operator: We'll now move onto our next question. Our next question comes from the line of Gabriele Gambarova from Banca Akros. Please go ahead. Your line is open.
Gabriele Gambarova: Yes, good morning. And thanks for taking my questions. The first one regards the Suncable project. There were -- I think the Australian government made some steps in August. So I was wondering if, from your standpoint, do we see it as a concrete opportunity. You could play a role in it. Your thought on this. The second is on the artificial intelligence. Basically, we know that it is going to require lots of energy. And it seems that all of that will basically come from nuclear and specifically, from small modular reactors, SMR. So I was wondering if you see this SMR, I understand it's a little bit strategic, but do you see this specific technology as an opportunity or possibly as a fact because it makes, let's say, the distance between where you produce energy and where you use it very short in my understanding. The last one is on tax rate. It was incredibly low in Q3, around 19%, 700 basis points below last year. So I was wondering if you can confirm the 24% you mentioned back in August. Thank you very much.
Massimo Battaini: Thank you, Gabriele. Suncable is a long-distant project connecting Australia solar farm with Singapore. It's a bit of a challenging project from a financial cost perspective. It is not that challenging from a cable technology perspective per se, but it is going to solve a lot of capacity. Decision has moved in this project and the developer decided not to have any specific plants built to satisfy this demand in Australia. And they are going to use existing capacity from different suppliers to satisfy this demand. We are the technological partner to Suncables for this project. We've been, since the very beginning, a technological partner to them. And we are there available with our capacity, with our technology to benefit from this opportunity should it ever come available in the coming years. Artificial intelligence and nuclear. Nuclear is definitely an important use case. We are starting to foresee the nuclear will represent 10%, 15% then of the total energy mix worldwide by 2050. And it's not a fact. It's not an opportunity. It's another vehicle to produce a channel energy electricity and satisfy the additional demand of electricity worldwide. Of course, we are present in the [indiscernible] case with our cables inside the buildings, inside the infrastructure and also to connect the nuclear to the existing grid. So I would say that we are neutral to it. If anything, there are some more opportunity in terms of Power Grid enhancement and in terms of specific cables that we sell to the developers of nuclear infrastructure, and there are few of us qualified for this type of application. I'll leave Francesco for the tax rate question.
Pier Francesco Facchini: Yes, Gabriele, I think the tax rate in 2024 is benefiting from some positive one-offs related to the acquisition of Encore Wire and related to their deferred tax liabilities that we had on their cash and in U.S., which was by the way, utilized by the acquisition. This generated a positive one-off, which is worth two, three points of tax rate in 2024, which will still be in place for the full-year, by the way. So I expect the full-year to be even lower than this 24%, say, between 22% and 23%. And then I expect on the -- from next year, a more normalized tax rate in the region of 25%.
Gabriele Gambarova: Thank you very much Massimo and Francesco.
Massimo Battaini: Thank you, Gabriele.
Operator: We'll now move onto our next question. Our next question comes from the line of Luigi De Bellis from Equita SIM. Please go ahead. Your line is open.
Luigi De Bellis: Hi, good morning. Just one question for me. Looking at the competitive landscape in transmission and power grid electrification. Have you seen announcement of new production capacity from competitor or the situation is fairly stable compared to some months ago? Thank you.
Massimo Battaini: No changes, Luigi. There are investments in transmission across all our competitors. There are investments in medium voltage power grid in United States, mainly from other players. And now the main investment are concerning the I&C space, definitely not in Europe and very limited in United States, apart from our capacity expansions. You have to -- I have to complement this comment with the sense of our relationship with a key customer. It is the first condition to have access to the market or global markets to add the capacity in place. But don't forget that, especially in Transmission, what matters more than the available capacity is the track records of the execution. It's the technological leadership. It's the relationship in terms of quality, service, and technological advantage that you provided customers in the past years what matters the most and this applies to Transmission to a larger extent, but also probably to a lesser extent, but still to a significant extent. So we have all this. We have the capacity. We have the increase in expansion in capacity. We have the technological leadership. We have the relationship -- long-lasting relationship with those customers. So we are not afraid of what's happening. Of course, more capacity would probably strain a little bit pricing situation. But we are ready to face it with a technological advantage and with the execution capabilities.
Luigi De Bellis: Thank you very much.
Massimo Battaini: Thank you, Luigi.
Operator: There are no further questions at this time. So I'll hand the call back to Massimo for closing remarks.
Massimo Battaini: So thank you very much for your attention. I confirm our full satisfaction for this great quarter three performance, and this really makes us confident that the full-year will be a successful achievement, preparing us for the next challenges for the next three, four years, which you will be disclosed to at in March '25 at the Capital Market Day. Thank you all, and have a good day.